Operator: (Operator Instructions) Welcome to the First Quarter 2010 Universal Forest Products Inc. Earnings Conference Call. I would now like to turn the presentation over to your host for today’s call, Ms. Lynn Afendoulis, Director of Corporate Communications.
Lynn Afendoulis: Good morning and welcome to Universal Forest Products first quarter 2010 conference call. On the call today are Chief Executive Officer, Michael Glenn and Chief Financial Officer, Michael Cole. Please be aware that any statements included in this call that are not historical are forward looking statements within the meaning of Section 21-E of the Securities and Exchange Act that’s amended and are based on management’s beliefs, assumptions, current expectations, estimates and projections about the market’s we serve, the economy, and the company itself. Words like anticipate, believe, confident, estimate, expects, forecasts, likely, plans, projects, should, variations of such words and similar expressions identify such forward looking statements. These statements do not guarantee future performance and involve certain risks, uncertainties, and assumptions that are difficult to predict with regard to timing, extent, likelihood and degree of occurrence. The company does not undertake to update forward looking statements to reflect facts, circumstances, assumptions or events that occur after the date the forward looking statements are made. Actual results could differ materially from those included in such forward looking statements. Investors are cautioned that all forward looking statements involve risks and uncertainties. Among the factors that could cause actual results to differ materially from forward looking statements are the following; fluctuations in the price of lumber, adverse or unusual weather conditions, adverse conditions in the markets we serve, government regulations, particularly involving environmental and safety regulations, and our ability to make successful business acquisitions. Certain of the risk factors as well as other risk factors and additional information are included in the company’s reports on Forms 10-K and 10-Q on file with the Securities and Exchange Commission. This call is the property of Universal Forest Products. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Universal is strictly prohibited. At this time, I would like to turn the call over to Mike Glenn.
Michael Glenn: As we noted in our press release we’re really proud of our results that we’re able to turn in. It feels great to say that we posted our highest first quarter profit in three years and our first year over year increase in quarterly sales in two years. It’s been a rough road and we know there’s more ahead but we believe 2010 is going to be challenging but we also believe we’re well positioned for success. Our early and conservative decisions are paying off and our efforts to find new areas of opportunity are proving to be sound strategies. Before I get into some more detailed remarks I’d like to turn it over to Mike Cole for a review of our financials.
Michael Cole: I’ll start by reviewing our income statement for the quarter. Our sales for the quarter increased by 9% primarily driven by an increase in our overall selling prices due to the lumber market. Unit sales were up slightly for the quarter. Reviewing by market, our sales to the DIY market decreased 2% compared to last year primarily due to a 6% decline in unit sales offset by a 4% increase in selling prices as a result of the lumber market. Our unit sales for this market were off a little more than we expected likely due to weather. We also think some of our customers delayed stocking orders this spring due to poor weather and uncertainty about consumer spending. More recently we’ve seen an increase in sales to these customers. Our sales to the manufactured housing market increased 32% for the quarter due to the lumber market and an increase in unit sales. Unit sales increased because of improved market activity in March and because we picked up some additional product lines we’d not previously sold with certain customers. Our sales to the site-built construction market increased 1% this quarter due to a 3% increase in selling prices offset by a 2% decrease in unit sales. By comparison, national housing starts were up approximately 9% for January and February. I think it’s important to note that we may trail the market somewhat over the course of the year due to plant closure actions we took later in 2009. Closed plants caused a 7% decline in sales for the quarter. Finally, our sales to the industrial market increased by 20% for the quarter due to a 17% increase in unit sales and a 3% increase in selling prices. We gained share this quarter as we continued to add new customers and expand our product offerings. Moving down the income statement, we’re pleased to report our first quarter gross margin increased to 13.1% from 12.9% last year and our gross profit dollars increased by 10% comparing favorably with a slight increase in unit sales. Our improved margin was primarily due to a decrease in labor and overhead costs due to plant closure actions and a continued efficiency. Selling, general and administrative expenses decreased $600,000 or 1.2% for the quarter in spite of an increase in accrued bonus expense due to improved profitability in 2010. When evaluating our profitability this year compared to last year I think it’s also important to note that we had a $2.4 million gain on the sale of certain real estate last year and had no similar gain this year. Overall we’re very pleased to report a profit in the first quarter for the first time in three years and are optimistic going into our seasonally strong second and third quarters. Moving on to our cash flow statement, our cash flow used in operations was $78 million this year compared to $18 million last year. Our operating cash flow in 2010 includes net earnings of $1 million, $11 million in non-cash expenses, and that’s offset by a $90 million increase in working capital since December. The increase in working capital is simply due to the seasonality of our business. We’re very pleased with our working capital management this quarter, reporting an eight day decline in our cash cycle due to an improved receivables cycle and quicker inventory turns. Today our receivables are 95% current which is a big improvement over last year. Capital expenditures totaled only $4.6 million this quarter but we still expect to spend approximately $32 million for the year. Finally, our seasonal working capital requirements were funded through our cash reserves and about $15.7 million in borrowings under our revolving credit facility.
Michael Glenn: I sound a little bit like a broken record but that’s the good news. We’re doing what we said we were going to do; we’re not really creating any surprises. Last quarter we told you we were going to grow sales; we said we were going grow our business with existing customers by adding new customers and by adding new products. We are doing it all and its working. In the first quarter we grew share in all our markets and sales in three because of these efforts. Did we grow sales to the extent of which we’d hoped? Not really. While we don’t like to point to weather as a factor, we very, very seldom even talk about weather; it did have an impact on our sales in the first quarter. We had snow in Florida, we had snow in the Carolina’s, we had snow in Texas, we had torrential rain and hurricane winds in California, and it hurt the building season and our sales to DIY and site-built customers. It scared some of our larger customers who held back stocking their stores. Our growth was a little more modest than what we’d hoped for. But we started seeing signs of better times in March as the weather improved. I like our strategy. I like our products, our move into packaging and container solutions, and our growth in concrete construction forms and material. I like where we stand. Our biggest challenge for the year will be the lumber market. It’s volatile and it’s a supply driven market. About 50% of the North American mill capacity has been removed or idled over the past four years. A spike in demand is going to have a significant impact on prices. With the building season here it’s going to be even more challenging. We can’t control the market but we can manage a volatile market better than anyone else. We have the assets and the volume and the knowledge that allow us to create innovative solutions to lumbers needs and issues and that’s critical because we have to make sure that our customers are taken care of no matter what the market looks like. That’s it in a nutshell. We’re doing what we said we were going to do and going after new opportunities. We’re facing challenges and managing them well and we’re continually strengthening our company and our opportunity for 2010 and years ahead. Now I’d like to focus on your questions and give you information that you need. Let’s get started with any questions and comments.
Operator: (Operator Instructions) Your first question comes from Trey Grooms – Stephens, Inc.
Trey Grooms – Stephens, Inc.: If you look across your different end markets are you guys seeing any improvement or signs of improvement in real demand coming from the different end markets? If you could, point to where you are seeing pockets of strength or where you see additional weakness going forward.
Michael Glenn: We kind of discounted the first two and a half months of the year because of weather. What we’ve seen since the middle of March to today is all four of the business segments that we’re in have shown very good strength in sales. There hasn’t been really any disappointment in any one of those categories.
Michael Cole: Our March sales were up quite significantly over last year, across all four markets.
Trey Grooms – Stephens, Inc.: Do you think that looking at where we are with lumber prices and then you also have apparently the improving trends in demand, can you help us understand that relationship of improving utilization rates while taking into account the higher lumber prices and what that could mean for margins going forward?
Michael Glenn: Long term the margin situation is, I’ll be honest with you we have a couple headwinds in there, we have some fixed stators that we have with The Home Depot so if the market moves up that certainly as you know makes your margin a little bit smaller. We have this whole situation with freight again is rearing its head where there’s just not enough trucks out there. We’ve had to a pay a little bit extra for freight. Long term because of the way we’re set up in our plants we’re able to bring in, I think I talked about this before; we’re able to bring in different widths and different lengths and cut it up to get what we need and to get the margin we need. We’re not stuck with just having to buy 2x10x12 for example, we can buy 18’s which is at a huge discount and get our 12 and then use the 6’ for stair stringers and different things. We’re not held totally captive to the market and we feel really good of where we’re at. It feeds into our strengths. Our general managers are very, very good and very creative and I think you’ll be pleased with our results.
Trey Grooms – Stephens, Inc.: Correct me if I’m wrong but you would think with the improved utilization rates that you would be able to get some leverage off of that as well.
Michael Cole: That’s our intention. We’ve been able to accomplish that even through the downturn as we grow sales and we grow our unit sales we certainly expect to get even more productivity.
Trey Grooms – Stephens, Inc.: Looking at SG&A I know you guys don’t necessarily guide but just looking at where we are today with SG&A and the improvements you’ve made with headcount, etc. is this a run rate that we could expect with a modest improvement in demand and in sales or should we expect SG&A to ratchet up to some degree?
Michael Cole: I think we’ve talked about this on previous calls too. It’s our goal to be able to increase our unit sales 5% to 10% and try to keep that SG&A line fixed. The one exception to that is that as business improves and our profits continue to rise you’ve got bonus expense that can go up that’s in the SG&A line and then you’ve got sales incentives that can go up on the SG&A line, those will float.
Operator: Your next question comes from Steve Chercover – D.A. Davidson
Steve Chercover – D.A. Davidson: Could you discuss the trends in late March versus January and February? What I’m really getting at is the sales that were lost due to weather were they lost permanently or will they be shifted into the current and future quarters?
Michael Glenn: I don’t know the answer to that. I don’t think we have lost sales, I think that it’s certainly in the DIY it just got pushed back. Clearly in some of the construction business I don’t think we lost that, they just couldn’t get out there and build. The enthusiasm once the weather broke is very, very encouraging.
Steve Chercover – D.A. Davidson: With rising wood prices we see any inventory gains or were there any inventory gains in Q1?
Michael Cole: I don’t think we had. I think what you’re saying is did we get some margin enhancement because of the inventory or because of rising lumber prices and I don’t think we did, no.
Steve Chercover – D.A. Davidson: The general relationship is your margins actually go down a little bit as lumber prices rise.
Michael Cole: Exactly, and periods of higher level of prices because we price so many of our products to have a fixed profit per unit but the margin does go down.
Steve Chercover – D.A. Davidson: But there have been times where I guess you’ve been opportunistic in laying in some inventories, that wasn’t really a factor in Q1?
Michael Glenn: Very, very small because we just didn’t sell much. A lot of what we sold in the first quarter were products that were not affected by this surge in pricing. By that I mean we did like a lot of vinyl fence and a lot of plastic lattice and even a lot of wood fence in the first quarter, stocking up stores that the market increase didn’t affect those products. Now what we shipped later, at the end of the quarter and into the first part of the quarter we did have some material that was bought and the market moved that we did get a little bit of a pick up on it. That was slightly offset by a program that we have with Home Depot where we have some pricing adjustments in the second quarter.
Steve Chercover – D.A. Davidson: Can you give us a little color on the acquisition landscape? If I’m not mistaken it’s still your objective to grow fairly aggressively as things get better.
Michael Glenn: We are working on that.
Steve Chercover – D.A. Davidson: Nothing you could elaborate on in the pipeline.
Michael Glenn: I don’t look good in stripes.
Michael Cole: We’ve always got the pipeline we try to have full speed and we’ve got things we’re looking at across several of our markets and when we have something to announce we’ll let you know.
Operator: Your next question comes from Robert Kelly – Sidoti
Robert Kelly – Sidoti: In the release you call out the big increase in lumber prices yet selling prices are only a couple percent up 1Q year on year. Does that gradually step up as we progress throughout the year for 2010?
Michael Cole: The probably looks a little bit odd. In Q1 when you think about it there’s so much that we do that’s non-wood and that’s so much that we do that’s value added where the prices are a bit fixed or not even related to wood. It just didn’t have that much of an impact. I think that change is in Q2 when the treated lumber starts to go out of the plants in big volumes.
Robert Kelly – Sidoti: With the dollars increasing, it sounds like your units are going up and your pricing is moving higher. Is it more important to have more dollars running through plant or should we still think about units driving better utilization?
Michael Glenn: It’s all units.
Robert Kelly – Sidoti: As far as the working capital, the burn you saw in 1Q does that reverse, obviously it reverses throughout the year, and do you think you’re positive free cash flow in 2010?
Michael Cole: Absolutely.
Operator: With no further questions in queue, I would now like to turn the call back to Mr. Mike Glenn for closing remarks.
Michael Glenn: Thanks again for taking the time to listen to us. We’re going to go back to work, we’re going to grow sales like we told you we would, we’re going to grow our bottom line like we told you we would, and we’re going to go off and work our tail off to do all that. Thanks again for your support.
Operator: Thank you for your participation in today’s conference. This concludes today’s presentation. You may now disconnect. Have a good day.